Operator: Good day ladies and gentlemen, and welcome to the fourth quarter 2011 Rubicon Technology Incorporated conference call. My name is Chenille, and I will be your operator for today. [Operator Instructions] But now, I’d like to turn the conference over to Miss Dee Johnson, Vice President of Investor Relations. Please proceed. 
Dee Johnson: Thank you, Chenille, and good afternoon, everyone. We are pleased you could join us today for Rubicon’s fourth quarter 2011 earnings conference call. With me today are Raja Parvez, Rubicon’s President and Chief Executive officer, and Bill Weissman, Chief Financial officer.
 We’ve allotted one hour for our call this afternoon. Raja will provide an overview of fourth quarter results of operation. We’ll discuss the current market environment. And then Bill will review our financial results in detail and discuss our outlook for the first quarter of 2012. We will then be happy to take your questions.
 Today’s call is being webcast through the investor relations section of our website located at www.rubicon-es2.com. A replay of this call will be available for 8 days. And the webcast will be archived in the investor relations section of our website. As a reminder, today’s press release and preliminary financial statements are also available in the investor relations section of our website.
 Before we begin, please be advised that certain statements in this presentation relates to future results that are forward-looking statements made pursuant to the Safe Harbor provisions of the Private Security Litigation Reform Act of 1995. The accuracy of which are necessarily subject to risks, uncertainties, and assumptions of the future events that may not prove to be accurate. Factors that could cause actual results to differ materially from those expressed and implied include general economic conditions, and this factors discussed in our most recent form 10-K and other filings with the Securities and Exchange Commission. We undertake no obligation to update or revise any forward-looking statements whether as a result of new information, future events, or otherwise. 
 Now I’d like to introduce our President and CEO, Raja Parvez. 
Raja Parvez: Thank you, Dee. Good afternoon, everyone, and thank you for joining us today.
 Market conditions were very challenging in the fourth quarter. The events from the LED market was limited particularly for 2 through 4 inch cores because of excess inventory in the LED supply chain. The protracted weakness in the LED chip market finally began to impact 1/2 our [indiscernible] demand in the third quarter as chip manufacturers and/or polishing customers had excess inventory. As a result, fourth quarter revenue decreased both year-over-year and sequentially to $19.4 million just below the range of our guidance, which was $20 to $23 million. 
 Despite the challenging second half of the year, our revenue for the full year 2011 increased 73% compared with 2010, and was nearly 7 times the revenue of 2009. 
 [Indiscernible] 2 through 4 inch diameter products was weak in the fourth quarter. But revenue from 6 inch polished wafers was relatively strong as we represented 95% of our substrate revenue. While revenue from 6 inch polished, we report was lower sequentially by approximately 33%, it was nearly double the 6 inch revenue of the year ago quarter. 
 The inventory buildup in the supply chain has put significant pressure on our customers. We are proud of our deep, long lasting relationships in the market. And it was important for us to work very closely with our major customers to help them through this challenging period. In addition to the concessions given to over largest 6 inch customers, we make accommodations to certain key customers of our small diameter code and agree to write up $1.7 million of account receivables in the quarter. 
 As we disclosed previously, we are very pleased to have signed a new contract with our key 6 inch customer in the LED market. This contract provides our best level of wafers to be shipped beginning June of this year to the end of this year. 
 I spent a lot of time with our customers and more so than ever in the past few months. In my most recent visits, I was pleased to see that the situation at most of our customers was improving. Inventory of 2 through 4 inch coils is approaching normal levels, although we believe that some of our 6 inch wafer customers still have excess inventory. Given that this is only in the recovery, pricing remains low. But the recent resumption of orders for 2 through 4 inch coils is an indication that much of the energy correction is now behind us. 
 The development of the past few months indicate to me that we have a strong degree of customer loyalty. Our working integration allows us to effectively manage quality, cost, and on time delivery at each scale of the process. This is why today, we have sold more 6 inch wafers than all the rest of the industry combined. 
 Now aside from the LED market, demand from the RFIC market is strengthening. And the optical market also remains strong. 
 In terms of profitability, our gross margin was under pressure in the fourth quarter as the result of reduced pricing. But also from lower utilization of our polishing operations in the quarter. Gross margin was 12%. And we had an operating loss of $723,000 in the quarter. A reduction of our full tax year rate as a result of the lower earnings put us at a positive earnings per share of $.04 per diluted share in the quarter. I believe that as pricing and utilization improves, we’ll gradually move back to a targeted gross margin above 40%. 
 For the full year 2011, our pre-tax earnings were nearly doubled going from $28.7 million in 2010 to $54.8 million in 2011. Full year diluted EPS for 2011 was $1.61 as compared to $1.28 in the 2010 as we began accruing income taxes in 2011. 
 During the course of 2011, we further positioned ourselves to be the supplier of choice for Sapphire products with the stronger capabilities, highest quality, and lowest cost. 
 Here are some of our accomplishments in 2011. We ramped up production at our new next generation Crystal Growth facility, the Batavia. Illinois with our latest [indiscernible], which produce large diameter crystals with improved G’s and lower cost to additional automation. 
 We brought online our Kawasan facility in Pulau Pinang, Malaysia, qualified the plant with multiple customers, and began a volume production of large diameter wafers from this facility. 
 We are well on our way towards the goal of reducing our 6 inch polished wafer cost by 20% by mid-2012 as we continue to scale that operation and define our processes. We are expediting the relocation of our polishing operations to Malaysia from our U.S. operations to reduce costs as quickly as possible.  
 We developed our own internal capability to convert powdered aluminum oxide into raw material used in Crystal Growth premises and move that process into production. This gives us greater control over supply and quality of our raw materials. And is beginning to reduce our raw materials cost. We estimate that our raw materials cost will be reduced by over 20% when we complete this implementation in 2013. 
 We completed the upgrade of all of our Crystal Growth facilities to the current generation of our pharmacies to includes yields and lower costs. We defined the process of producing 200 kilogram booths and will be moving that from R&D to a production environment in our next Crystal Growth facility. This will enhance our ability to serve the optical market in the near term and provide a platform of it to produce 12 inch polished wafers when the market is ready for our product. Keeping us at the forefront of development and staff our [indiscernible]. All of this was accomplished in 2011. 
 Bill will provide details on our first quarter guidance, but I want to share a few comments on the subject. While we’re beginning to see it turn around in the LED market, the first quarter of 2012 is going to be even tougher than the fourth quarter of 2011. This is primarily the result of our lower 6 inch sales to the LED market, and the resulting lower utilization of our polishing operations. But we do see things improving starting in the second quarter. Our market has been marked by volatility in volume and price since the business started 11 years ago. But all times, we have maintained our focus and implemented our strategy. 
 The markets we serve have tremendous growth for expansion. The adoption of LED’s in general lighting is still in its infancy. But the economics are increasingly compelling. There is still significant market shares to be gained by LED’s in the back lighting market. And LED’s used in our automotive applications is growing rapidly as well. 
 In addition, RFIC applications based on Sapphire as well as optical applications are increasing demand. Therefore, growth in demand for Sapphire substrates is bound to happen or whatever horizon you may choose, 1 year, 2 years, 5 years, or beyond. The enormous growth potential of the markets we serve is attracting new entrance into the Sapphire industry. We have not seen any material change in the competitive landscape. But clearly, there will be more competition in the coming years. However, there is no turnkey solution for manufacturing quality Sapphire at a competitive price. And I believe that most people underestimate the value to increase. It has taken many years off for Rubicon to develop our technology to the point where we consistently produce high quality Sapphire products in high yield and in high volumes. Building a vertically integrated manufacturing platform that provides cost efficiencies and quality control at each step of the Sapphire manufacturing process took enormous effort, but now positions us uniquely in the market. 
 From a cost perspective, we make our own raw material. We build our own [indiscernible]. We have developed highly automated equipment. And have located our manufacturing operations to provide maximum cost savings and maximum protection for our intellectual properties. No doubt that some of the new entrants will be successful to varying degrees. However, I am confident that Rubicon is positioned to succeed in any environment. 
 I would now like to turn the call over to Bill who will provide you with greater details on the financial results for the fourth quarter and our guidance for the first quarter of 2012. 
William Weissman: Thank you, Raja. 
 The revenue for the fourth quarter was $19.4 million versus $33.6 million in the prior quarter, and $29.5 million in the year ago quarter. Sequential reduction in revenue was due to lower sales volume of 2 through 4 inch core and price reductions, particularly for 6 inch polished wafers.
 The year-over-year reduction in revenue in the quarter was due to the lower volume of 2 through 4 inch core sales. 
 As Raja mentioned, there was a sharp reduction in demand for Sapphire substates in the quarter resulting from excess LED chip inventory in the supply chain. Consequently, we have limited orders for 2 through 4 inch cores in the fourth quarter. 
 Revenue from 2 through 4 inch cores totaled $684,000 in the quarter as compared to $6.6 million in the prior quarter and $20.4 million in the year ago quarter. However, customer’s inventory levels have come down. And we are now beginning to see the return of orders for 2 through 4 inch cores in the first quarter. 
 Substrate revenue in the fourth quarter came primarily from the sale of 6 inch polished wafers, which totaled $17 million or 95% of our substrate revenue. $14.6 million of our 6 inch revenue came from the LED market in the quarter with $2.1 million coming from the SOS RFIC market. This compares to $22.5 million of 6 inch revenue from the LED market in the prior quarter. The lower LED 6 inch revenue was a result of reduced pricing in the fourth quarter as weaknesses in the LED market finally impacted 6 inch pricing. 
 While low utilization and excess substrate inventory at our key LED 6 inch customers may limit new orders for 6 inch wafers from the LED market in the first half of this year, 6 inch orders from the SOS market are increasing. 
 Revenue from the optical market in the quarter was similar to the prior quarter at $1.8 million, which was a record high for Rubicon. Optical revenue in the year ago quarter was $1 million. 
 Although the fourth quarter was challenging, 2011 was a strong year with revenue from 2011 increasing to $134 million, a 73% increase over 2010 revenue of $77.4 million. The biggest growth driver for the year was increased sales of 6 inch polished wafers, which increased from $18.7 million in 2010 to $64.7 million in 2011 as certain LED chip manufacturers began migration to a 6 inch substrate platform. 
 In addition, sales for the optical market nearly doubled in 2011. And revenue from 2 through 4 inch cores increased in 2011 due to increases in ASP’s. 
 Gross margin in the fourth quarter was 12.1%, which was a function of reduced pricing and reduced utilization in our fabrication and polishing operations due to the protracted weakness in the LED market. 
 While we continue to maintain high utilization of our install Crystal Growth capacity, we scaled back fabrication and polishing operations in the quarter as customers had access inventory. Utilization of post-Crystal Growth operations was approximately 65% in the quarter. 
 For the full year 2011, the average gross margin was 62%, similar to the average gross margin in 2010. 
 Operating expenses in the fourth quarter totaled $3.1 million, down from the prior quarter total of $4.2 million resulting in an operating loss of $723,000. Operating expenses were lower in the fourth quarter due primarily to reversal of accruals associated with performance based bonus and options not earned, which was offset in part by write offs of certain accounts receivable, which appear as higher bad debt expense. 
 Full year 2011 operating profit was $54.8 million resulting in an operating margin of 41% as compared to 2010 operating margin of 37%. 
  With our effective tax rate for the year lowered to 30%, we have a positive earnings of $.04 per diluted share in the fourth quarter. This compares to a diluted EPS of $.35 in the prior quarter. And $.64 in the year ago quarter. We began accruing income taxes in 2011 as we reversed our reserves based on our strong profitability earlier in the year. 
 Full year 2011 diluted EPS was $1.61 compared to full year 2010 diluted EPS of $1.28. Again, there were no income tax accruals in 2010. 
 Turning to the balance sheet and cash flow, we maintained a very strong cash position with $55 million in cash and short term investments at December 31st with no debt. We used a net of $17.3 million in cash and short term investments in the quarter including $7.6 million in capital expenditures spent on the continued build out of new facilities. 
 Inventories increased by $6 million due to the weak demand in the fourth quarter. And accounts receivable by $3 million due to the late collections. We expect strong receivable collections to increase cash and investment balances by the end of the first quarter. Inventory at December 31st was $22.8 million, up $6 million from the prior quarter end balance of $16.7 million. 
 Raw material was approximately $7.8 million of the total inventory at December 31st, up $2.2 million over the prior quarter as we continue to build a safety stock of our raw material. The higher finished goods and in process inventory balance was primarily due to limited demand for 2 through 4 inch cores in the quarter. 
 Our supplies inventory, which is included in our other current assets increased to $17.6 million at December 31st from $13.5 million at the end of the prior quarter as we took delivery on additional parts to be used for continued construction of new furnaces. 
 Regarding our outlook for the first quarter, while demand from the LED market remains limited, we are seeing signs of improvement. Inventory levels of 2 through 4 inch cores at our customers have declined. And we are now seeing orders for these products resume. Given it is early in the recovery, pricing is at an all-time low. But we are still able to make some margin on these products because of our low cost structure.
 Orders for 6 inch polished wafers for the SOS market are strong in the first quarter. And we expect revenue from this market to more than double sequentially in the first quarter as our technology continues to gain market share. 
 Orders from 6 inch polished wafers from the LED market however are down significantly in the first quarter. While the LED market is improving, customers currently have access inventory of 6 inch wafers, so new orders are limited. We expect 6 inch demand from the LED market to begin to improve late in the second quarter as inventory levels decline. And we expect strong demand in the second half of this year. As a result, we expect revenue in the first quarter to be between $8 and $12 million. 
 Strong demand for 6 inch polished wafers from SOS markets will help absorb some of the fabrication and polishing capacity in the quarter. Nevertheless, utilization in those departments will be very limited. 
 Due to the low utilization and low pricing of 2 through 4 inch cores in the quarter, we expect gross margin to be around break even. Consequently, we anticipate a loss of between $.10 and $.14 per share in the first quarter. 
 At this time, we expect an improvement in both utilization and pricing for 2 through 4 inch cores late in the second quarter. And are still expecting a strong half of the year. 
 I would like to turn the call back over to Raja for some closing comments. And then we’ll be happy to take your questions. 
Raja Parvez: Thank you, Bill.
 Let me summarize by recognizing that we had a tough quarter. But a successful year individually accomplished several strategic expectations to further solidify our leadership in technology, reliability, and cost. We have additional cost reduction actions in process including the full deployment of our raw material process. And the further position of finishing operations to Malaysia. 
 We are now in another difficult quarter. But we have turned the corner. Orders for 2 through 4 inch cores are picking up in the first quarter. And our position is still as the leader in large diameter wafers, which are the future of this market.
 We are confident in the growth outlook for LED and other Sapphire applications. The Sapphire industry has naturally attracted new entrance and competitors. But there’s no current key solution that can compete with Rubicon’s process quality, product quality, working integration, reliability, and cost. 
 I want to thank you all for joining us today. And thank you for your continued support. And now, operator, may we take our first question? 
Operator: [Operator Instructions] And your first question comes from the line of Jed Dorsheimer [ph] of Canaccord 
Unknown Analyst: Just a couple -- I wonder if you could maybe spend a little bit more time on the -- basically the 2-inch and 4-inch going to zero during the quarter. Is this a conscious decision on your part? And maybe you can explain that little bit in more detail. 
William Weissman: Yes, well, there specifically wasn’t anybody really buying 2 through 4-inch in the quarter. What they were buying, they were buying at a exceptionally low price, so we were not willing to sell that, but for the most part, there were very, very limited orders. As we said in our prepared remarks, that is changing significantly now as these orders are now beginning to open up. Pricing remains low but we’re actually starting to see pricing actually starting to inch up a bit. So we believe we have gone through the bottom of that cycle and now things are improving. Obviously, there’s a 6-inch inventory issue at the moment and that will get worked through in time and then that likely will improve also in the second quarter. 
Raja Parvez: And that, again, Jed, was because of the inventory at [indiscernible] and chip level and the customer’s level and that resulted into the hard purchase of new products in that quarter. But as we have said, that we have seen new orders in this quarter, 2 to 4-inch and I believe that inventory, at most of our customers, especially 2 to 4-inch has come to a normal level and is beginning to purchase more product from us. But giving it all at this time, we still are the choice of the companies for many customers because of who we are. 
Unknown Analyst: Okay, well, I guess where my confusion comes in is, what I hear you talking about is how you continue to reduce your cost structure, by vertically integrating both in adding some of the post crystal over in Malaysia and then also some of your own material manufacturing initiatives to try and drive down the cost. And the, Raja, you’ve mentioned, I think twice, that there aren’t turnkey solutions and maybe said differently that, your comments about cost structure there. So why isn’t it that, why walk away from the 2-inch and 4-inch if you’re a -- if you have a competitive advantage on costs? Why not try and go after that business and at the very least, keep the fab full from a utilization perspective? 
William Weissman: Well, again, we didn’t walk away from it. My comments around Q4 is that there was very -- there was almost no orders anywhere to be had for 2 through 4-inch because people had inventory but that inventory is now worked down and we are seeing orders now. And we believe they are coming to us first. Pricing today, I believe, and obviously there’s not a lot of transparency, we’re the only public company, but I believe pricing today for those products is below what most of our competitors cash costs are. But we’re able to sell those products, granted that they’re very small margins, we still sell them at a profit. 
Unknown Analyst: Okay. Utilization is 65 -- I assume was 65% for the quarter. What is it now? 
William Weissman: For polishing, the slicing polishing operation would be down to about 20% this quarter. 
Unknown Analyst: And the crystal? 
William Weissman: That --we never -- we haven’t shut down any furnaces on the crystal side. We continue to build out furnaces in Batavia. Over the last 3 or 4 months, the one that we installed and built and installed, we have not put them into production. So we’re probably, overall, in terms of our installed capacity, we’re probably around 85%. 
Unknown Analyst: Okay. And then just turn to the balance sheet, inventories ballooned as well as DSOs. You mentioned that you were building some feedstock or safety stock of your -- of the aluminum oxide, I’m curious in terms of the increase in the finished goods, is that all 6-inch and did -- based on your contract with your customer, or your 6-inch customer, it looks like they’re only going to take in the second half. So is this just a -- basically we have to look at the first 2 quarters of the year as just a digestion on the 6-inch? Just a little bit more color. 
William Weissman: No, most of the finished goods and in-process inventory is the 2 through 4-inch cores because the -- we’re still selling a lot of 6-inch in the fourth quarter and the core orders were limited so therefore we were building more inventory of 2 through 4-inch cores. 
Unknown Analyst: Okay, and have you seen -- so is your -- have you seen pricing move at all in terms of 2 and 4-inch cores and also on 6-inch in the first quarter, or is it too early? 
William Weissman: Yes, we’re starting to see -- now we’re starting to see things creep up maybe 10% or so. But it’s -- it’s clear out there that based on people’s behaviors and work patterns that they know that the bottom has been reached. People would love to lock in at current pricing for a year or more, but obviously, that’s -- no one’s going to do that, but pricing is starting to creep up. 
Dee Johnson: And we’re going to move on to another question, I think. Get back in the queue and we’ll talk -- you can get back to ask another question, Jed. 
Operator: Your next question comes from Christopher Blensett [ph] with JPMorgan 
Unknown Analyst: This is Eugene in for Christopher Blensett. There is news flow that some of your competition is operating at high utilization rates. Can you have us understand the difference in your first quarter outlook and this more positive outlook for your peer Sapphire makers? 
William Weissman: I’m sorry. Could you ask that question again? 
Unknown Analyst: We’re hearing from news flow from like your competition, they’re actually operating at high utilization rates for the 2 and 4 inches now. Can you help us understand the difference that you first [indiscernible] outlook that you’ve seen as [indiscernible] utilization as well as tough ASP? 
William Weissman: I think what those -- those competitors would be making cores, selling core. They probably scale back the utilization over the past couple of quarters and now, again, the core -- the core market is starting to come back, they’re probably increasing utilization. But they’re -- the difference is that we do a lot of 6-inch polished -- a lot of 6-inch polished infrastructure and that’s really what we’re scaling back our utilization on, not on crystal. 
Unknown Analyst: Okay. And then you mentioned you see improvement demand for the 2 and 4-inches starting this quarter. How strong is this demand and do you expect strength in this area to accelerate throughout the rest of the quarter? 
Raja Parvez: Yes. I just came back from the meeting with all the customers. Yes, I do see increased demand from all the core polishing customers, 2 to 4 inch, and I believe that that demand will accelerate during the quarter. Yes. 
Unknown Analyst: Do you think you can quantify that acceleration? 
Raja Parvez: At this point, it’s too early to quantify it, but I -- directionally, it is very encouraging, it is very positive. 
Unknown Analyst: Okay. And how much excessive inventory of 6-inch wafers do your customers have, and how long do you think this can be drawn down to the normal levels? 
William Weissman: Well, again, we think that late in the second quarter we’ll start to see orders strength for 6-inch. So we think we have, there’s several months of inventory up there. 
Unknown Analyst: Okay. Last question. In terms of effort to reduce material cost, are you still on track to enact a cost savings by the mid-2012? 
William Weissman: Well, we have 2 major cost initiatives. The raw materials initiative is really scheduled to roll out gradually and be fully implemented in 2013. We’ve got more equipment on order, to fully roll flat out, we’ll have to have our next facility available to put more equipment in there. The other initiative is our polishing operation and yes, we are well on our way to save that 20% target on polishing. We’ve already realized close to 10% over where we were 6 months ago and we’re repositioning more equipment from the U.S. to Malaysia and I think we’re very much on track for hitting that target by the middle of this year. 
Operator: Your next question comes from the Steven Chin, UBS. 
Stephen Chin: I was hoping you could share us, Raja, what percentage of Rubicon production in 2012 is likely allocated to this 6-inch contract and do you consider this contract win a competitive win over other 6-inch suppliers? And a win over even this customer’s own internal 6-inch capability? And then I had a follow up question. 
Raja Parvez: You got cut off. Can you repeat your question please? 
Stephen Chin: Yes, how much of your 2012 production is for this 6-inch customer? And do you consider this win a competitive win over other 6-inch suppliers and even this customer’s own internal facility? 
William Weissman: Well, it depends on capacity, in the second half of the year it’s less than the third, our polishing capacity. I’ll let Raja answer the second part of your question. 
Raja Parvez: Yes, look, obviously we got a contract. We’re happy that we did this. The customer has continued with us. And even through, again, a very competitive process. Because of our liability, because of our quality, because of our volume capability and transparency, we managed to get this contract and I believe that -- as for this particular customer’s internal capability, I cannot comment on that but I believe there was still a significant part of this customer’s supply chain and will continue to produce a good quality product at a competitive pricing which we plan to do. I believe we will continue to be strong with this customer and many other customers. 
Stephen Chin: Okay. Thanks for that. And then a question on the utilization rates, if sounds like you’re running utilization rates lower here in the March quarter, but you say things are improving in the June quarter. Are you worried you won’t have enough product in the second half recovery if you run factories at lower utilization rates here in the first quarter? 
William Weissman: Crystal growth, we’re maintaining our utilization. We’re not running at a lower utilization. The only thing we’re scaling back on is the polishing operation and we have in the installed capacity to fire that up pretty quickly, so we’re not really concerned about that. 
Raja Parvez: Especially, both Malaysia running a very efficiently and we have a very common platform between the U.S. and Malaysia and we’re qualified there. So I believe our ability to turn around from order fulfillment process, I think we will be very efficient and in a timely manner. We’ll fire up more machines as we see more improvement in the market. 
Stephen Chin: My last question is on cash and your thoughts on CapEx, net cash is $65million and the company burned about $13million in the fourth quarter, are you thinking of running Rubicon at 8 inch CapEx levels in 2012, and if so what is that likely amount? 
William Weissman: Firstly, I think our cash balance will increase by the end of the first quarter. I expect to have a lot of the outstanding receivables collected by then. This should result in a significant improvement. And as far as CapEx goes, yes, the first half of this year will probably be pretty much a maintenance CapEx. Really, the Batavia plant now is pretty much fully populated with the exception of some of the raw materials equipment we want put in there, as well as Malaysia, it's largely populated now. We are going to close on new land for our next crystal growth facility within the next week or two. But breaking ground on that won't start until early summer. And the plan will be able to have that available to us to start putting equipment into the site by the end of the year. So the second half of the year would be a heavier CapEx but still probably only at this point in time let's say $35 million range for the full year. 
Operator: Your next question comes from the line of Avinash Kant with DA Davidson 
Avinash Kant: Could you quantify the extent of price declines that you say in the fourth quarter compared to the last quarter? 
William Weissman: Fourth quarter, yes, the 2 through 4 cores actually were down another 50% roughly, and the wafers were down over 30%. 
Avinash Kant: And how about this 6-inch? 
William Weissman: That’s the wafers, yes. 
Stephen Chin: Okay, so wafers are 6-inch. Okay. And 2 to 4-inch was down 30% you said? 
William Weissman: 50%. 
Raja Parvez: 2 to 4-inch, 50% and wafers are down 30%. 
Avinash Kant: Okay. And also, given the cost structure that you have, what do you think is your breakeven level at this point in revenue terms? 
William Weissman: Well, on a gross margin basis, we’re pretty much there in the first quarter based on volumes and pricing. But again, we think that is the bottom of the market and based on order patterns and what we’re seeing now, we expect to see the improvements start in the second quarter. 
Avinash Kant: Okay. So -- and in terms of pricing, what is you assumption for Q1 pricing? 
William Weissman: Well, in terms of on average sale price, basically, the 2 through 4-inch actually, will probably be sold a little bit lower yet. They haven’t dropped in this quarter, but it’s a reflection of where the market was. Actually, by the end of this quarter we see prices beginning to increase. But on an average basis, we’ll probably be down a little bit further in the 2 through 4-inch and the wafers should be the same as Q4. 
Avinash Kant: So the wafer should be stable and 2 to 4-inch may be down like high-single digits, double digits? 
William Weissman: It could be as much as -- 15, 20%. 
Avinash Kant: 15 and 20%. 
William Weissman: But again, that’s -- a lot of these things were sold earlier in the quarter, and by the end of the quarter we think prices will actually start to increase. In fact, we’re already seeing that. 
Avinash Kant: Okay. So at this point, are you seeing a request from customers about going and getting into some long-term contracts? 
William Weissman: Oh yes, they’d love to. 
Raja Parvez: Yes, because the -- because of the pricing and the -- sometimes the opportunistic buy, yes, but we are very, very ground in the market and our market that we serve. I literally spend almost all of my time in Asia with my customers and other areas, so we’re very well grounded and we’re monitoring this very carefully on a daily basis and we are meeting our customer’s needs and at the same time we’re seeing the pricing trend improve and we’ll act accordingly and constructively for the company. 
Avinash Kant: Now recently, from what we’ve been hearing, it looks like the yield on the 6-inch, even in 4-inch wafers are not very high. Does that seem to take away from your customer’s need to kind of move onto the 6-inch sooner or quickly? 
William Weissman: I don’t think it’s a yield issue, and Raja can give his opinion. What I’m hearing, it’s not so much a yield issue but they’re utilizations have been low. Most of these customer’s plan include expansion into 6-inch rather than conversion into 6-inch and therefore their current operations, their utilization is low. That does delay any 6-inch plans. But I don’t believe it’s a yield issue for us. 
Raja Parvez: Yes, again, it also depends from customer to customer. As you know, customers like a particular manufacturing platform and as you know, 6-inch is a profitable platform for all of our customers who have the desire or capability to going into this one and then just select a particular manufacturing platform and they continue to work on this one. But the time to time -- same customers have a platform that they are used to have a 4-inch or 2-inch and they maximize the current utilization by doing that. I believe that 6 inches is here to stay and I believe it will continue to grow as a reflection of the market. And as the market continues to grow, I believe this will continue to grow. 
Avinash Kant: And final question, Bill. Could you talk a little bit about the tax rate? And I missed the CapEx number that you talked about in 2012. 
William Weissman: Yes. The tax rate for -- well, affecting full year 2011 was 30%. It came down as a result of lowering at the end of the year. Our guidance for 2012 is still 30 to 35%. And the CapEx at this point in time, is in the neighborhood of 35 million. It will be impacted by exact timing of the construction of the new crystal facility. 
Operator: Your next question comes from the line of Jiwon Lee with Sidoti and Company. 
Jiwon Lee: Raja, would you care to comment a little bit more about the competitive landscape on the 6-inch side? And is the 6-inch demand indeed strongly picks up in the second half of this year, how many more other LED customers do you expect traction? 
Raja Parvez: Well, first of all, the competitive landscape, yes, there are our current competitors. Some of them are offering 6-inch products, but we still remain the largest provider of that 6-inch wafer into the market. As far as demand is concerned for the 6-inch, I believe that those companies have started the 6-inch platform, it will increase as demand increases, this utilization and will continue to work with all of our 6-inch customers at varying stages, some of them we’re qualified, some of them in the R&D stage, we’ll supply small volume to medium volume. And I believe that as demand improves, we will supply more products to these current customers. And as -- one thing is, I wanted to make sure that all of us are aligned to this. Any company in the world stage which has decided or choose to work and move to 6-inch, we have their [indiscernible] to do so ahead of time. So I believe that that will continue. But we do expect to add some more customers during this year as the demand improves. 
Jiwon Lee: Okay, and I want to ask a little bit more about that $20 million contract that you’ve secured. Outside of that, if there’s an additional demand, does the pricing change at that point or could that change? 
William Weissman: The pricing in the contract and volumes are about fixed. 
Jiwon Lee: Right. But if there were to be incremental demand outside of the contract, would pricing change? 
William Weissman: It could be, yes. Anything outside of the contract is negotiable, yes. 
Jiwon Lee: Okay. And I wanted to get a little bit into your head about what kind of a thought went into it when you were targeting still the gross margin near 40%? Talk to us a little bit about the revenue mix and kind of the pricing move that you have to achieve to get there. 
William Weissman: Well, its’ a lot of moving parts, obviously. It’s one of the functions of the 2 to 4-inch core pricing, which is -- was at a record low and that we expect to improve and are beginning to see that. The cost initiatives that we have underway will be a part of that and 6-inch pricing and volume is low, we need to get utilization obviously back up in our slicing and polishing operation and those 3 things combined, we believe, will get us back into that target range. 
Operator: Your next question comes from the line of Ahmar Zaman, Piper Jaffary. 
Ahmar Zaman: I guess the -- just to follow up on the last person’s question, given where pricing is today, you mentioned that you’re seeing pricing pick up, can you give us some color as to what you’re expectations are for price recovery this year? I guess what I’m struggling with is, I understand demand is picking up, but it’s also quite a bit of capacity that’s also expected to come online this year. Some of your -- some competitors, some pretty large competitors are adding capacity this year as well. What gives you the confidence that pricing is going to recover and recover meaningfully this year? 
Raja Parvez: Well, first of all, yes, there are new entrants. But again, as we said, we have not seen a material change yet and the -- we expect the pricing to improve, but we do not know to what degree it is going to improve. We know what our costs are, we have probably the most competitive cost structure in the world markets. We have more at a crystal level as well as a finished polishing level and we’re confident [indiscernible] that we can continue to gain more market share. But as for as the more capacity adding meaningfully, frankly, still remains to be seen. And again, it is all function of demand. 
William Weissman: Pricing doesn’t really have to go up that much to get us back to 40-50% gross margin on those products, on those 2 to 4-inch products because of the cost structure. 
Raja Parvez: Many of our new entrants, they are providing this product to market now, it is hard to imagine that they deliver to many any money on it because we know what it takes, how long it takes of the cost to make it quality [indiscernible]. So we are confident that we’ll be very protective in this market providing a very competitive product. And thus, we’re seeing some sign from our customers. 
Ahmar Zaman: Thanks. And then if I may, just as a follow up on 6-inch, you have that $20 million contract for the second half of this year. Do you have -- are you in negotiations with any other customers besides that big large customer in the second half? And do you anticipate singing any additional contracts for 6-inch in the second half? 
Raja Parvez: Well, first of all, we continue to work with all customers who are interested and in need of a the long-term commitment, and we do that. And again, it is a function of the demand, if demand continues to grow and the applications and so therefore we could. 
Ahmar Zaman: And then on, just finally if I may on Bill, reaching and getting back to 40% gross margins, can you provide some color on, I mean, do you expect to achieve that in the first half, second half, late in the second half? How should we think about that? 
William Weissman: Yes, it’s too early to tell. We’re not providing guidance beyond the first quarter. So it’s just too early to tell right now. 
Operator: Your next question comes from Andrew Hung with Stern Agee. 
Andrew Huang: First, Bill, could you just share with us the 2-inch revenue for the quarter? 
William Weissman: The 2 through 4-inch cores was a little under $700,000. 
Andrew Huang: But do you have the 2-inch specifically? 
William Weissman: 2-inch was the majority of it. 
Andrew Huang: Okay, great. And then a question on the tax rate. You said that you expect to use -- we should use 30% to 35% for 2012. But given that you’re going to be kind of reporting a loss for Q1, should we still expect the tax rate to be that high for Q1? 
William Weissman: Yes, well, what you do is you estimate your tax rate for the full year and since we expect the second half to be strong and be in a profit position, then yes, we would apply that rate to the loss in the first quarter. 
Andrew Huang: Okay, got it. And then can you give us a little preview of the 10-K and share with us who your top 3 customers were for 2011? 
William Weissman: No, we’ll let you read that in the 10-K. 
Andrew Huang: Okay. And then I guess the last question is, you talk repeatedly about you expect I guess utilization and pricing to kind of improve late in Q2. And I just want to understand where you’re getting that conviction. 
William Weissman: Well, again, utilization, the slow-down utilization is [indiscernible]. For one thing, our contract, our new contract starts in June, so the end of the second quarter, so that alone will trigger some improvement, but we think in addition to that, that we will see additional 6-inch volumes in the second quarter. 
Operator: And ther are no further questions at this time. I would now like to turn the call back over to management for closing remarks. 
Dee Johnson: Excellent. Thanks to everyone for joining us today. We appreciate your interests and we look forward to speaking with you again soon. This concludes the Rubicon fourth quarter conference call. 
Operator: Ladies and gentlemen, you may now disconnect and have a great day.